Operator: Thank you for standing by. Welcome to the Woodward Inc. Fourth Quarter and Fiscal Year 2024 Earnings Call. At this time, I would like to inform you that this call is being recorded for rebroadcast and that all participants are in a listen-only mode. Following the presentation, you are invited to a question and answer session. Joining us today from the company are Chip Blankenship, Chairman and Chief Executive Officer; Bill Lacey, Chief Financial Officer; and Dan Provaznik, Director of Investor Relations. I would now like to turn the call over to Dan Provaznik.
Dan Provaznik: Thank you, Operator. We would like to welcome all of you to Woodward's Fourth Quarter Fiscal Year 2024 Earnings Call. In today's call, Chip will comment on our strategies and related markets, Bill will then discuss our financial results as outlined in our earnings release. At the end of our presentation, we will take questions. For those who have not seen today's earnings release, you can find it on our website at woodward.com. We have included some presentation materials to go along with today's call that are also accessible on our website. A webcast of this call will be available on our website for one year. All references to years in this call are references to the company's fiscal year unless otherwise stated. I would like to highlight our cautionary statement as shown on slide two of the presentation materials. As always, elements of this presentation are forward-looking, including our guidance, and are based on our current outlook in and our businesses more specifically. Those elements can and do frequently change. Our forward-looking statements are subject to a number of risks and uncertainties surrounding those elements, including the risks we identify in our filings with the SEC. These statements are made as of today, and we do not intend to update them. In addition, we are providing certain non-US GAAP financial measures. We direct your attention to the reconciliations, which are included in today's slide presentation and our earnings release. We believe this additional financial information will help in understanding our results. Now I will turn the call over to Chip.
Chip Blankenship: Thanks, Dan. And thank you all for joining us today. 2024 was a remarkable year for Woodward. Our team continues to make significant progress guided by our values and motivated by our purpose, to design and deliver energy control systems our partners count on to power a clean future. Our members' dedication to serving customers and meeting our commitments to all stakeholders drove record performance in a number of areas. Annual revenue exceeded $3 billion for the first time, which was the result of strong performance in both of our segments. Aerospace sales increased approximately 15% to record levels, and margins expanded approximately 260 basis points. In Industrial, we also achieved record sales boosted by elevated sales in our China on-highway product line and continued strong performance from the rest of our industrial business. As a result, we delivered an all-time high earnings per share, and free cash flow increased by more than $100 million compared to the prior year. Now I would like to highlight some noteworthy achievements from 2024 in each of our value driver pillars of growth, operational excellence, and innovation. Starting with growth, we delivered on strong demand across our end markets. In aerospace, with an unusual combination of localized demand uncertainty and continued supply chain challenges, our team remained agile and adapted to changing conditions. The fact that we have significant content on commercial and defense growth programs coupled with an extensive installed base,
Chip Blankenship: has allowed us to navigate the external forces and mitigate impacts to our business and members. As we move into 2025, we are ready for anticipated service growth from LEAP and GTF engines. In September, we celebrated the completion of a cutting-edge facility featuring advanced MRO services infrastructure, including new testing capabilities. We are also working with customers to support their growth. For example, earlier in the year, we announced new MRO agreements with Lufthansa Technik, Alliance Airlines, and Turkish Technik. In our industrial segment, our diversified portfolio delivered strong results. We are preparing for continued industrial growth in specific applications and prioritized product lines. We recently broke ground on an expansion to our Glotten facility, which will increase capacity and streamline flow in multiple value streams to deliver growth in power generation and marine transportation markets. We have also set a clear strategy to expand our industrial service offerings. We are deploying repair, overhaul, and upgrade capability regionally to better serve customers around the globe.
Dan Provaznik: The Woodward Control Systems installed base is extensive
Chip Blankenship: and we intend to make it easier for our customers to access OEM service with Woodward. In addition, we continue to make progress on our product portfolio rationalization. As previously announced, we signed a definitive agreement to sell a combustion component fabrication product line and all related assets in our Greenville facility to GE Vernova. This targeted disposition is good for our customer and our members, and it is consistent with our strategy to focus our resources on product lines that provide the best return for shareholders.
Dan Provaznik: We are exiting the small product line that was dilutive to industrial earnings.
Chip Blankenship: In turn, we are focused on our industrial gas turbine offerings with greater Woodward intellectual property and profitability, such as liquid and gas fuel metering systems, as well as prime mover and power plant control systems for both heavy-duty and aero-derivative gas turbines. Turning to operational excellence, the safety and well-being of our members is my number one priority, and that of our management team each and every day. In 2024, we implemented human organizational performance (HOP) across several of our sites. We have seen a notable increase in workforce engagement and proactive measures taken. We plan to roll out HOP across the rest of our sites in 2025 and 2026. HOP also supports our focus on quality by encouraging anyone to raise their hand if they see an issue and feel welcome to contribute to the solution. Moreover, it is an error reduction methodology as well as a way to add layers of protection so that human error does not lead to an unacceptable impact on personnel safety or product quality. Over the past year, we have accelerated our automation journey. Automation will enable future growth while improving safety and quality.
Dan Provaznik: From a workforce development standpoint,
Chip Blankenship: this approach allows us to mitigate the impacts of attrition and transition members to more value-add, higher-skilled work. We are seeing early positive results. We continue to make progress on our supplier simplification program. We are focused on working with our strategic suppliers to reduce complexity, improve alignment, and provide better demand signals. In addition, our rapid response Machining Centers continue to provide flexibility by alleviating supplier capacity issues and internal bottlenecks. In 2025, we are focused on continuing our lean transformation in our quest to achieve predictable and consistent operating results. Lastly, we have made great progress on our innovation value driver. We are focused on innovation to solve customer challenges and we are helping them achieve their future goals. Whether it is related to technology stocking for the next single-aisle aircraft or for the energy transition. In aerospace, we are prioritizing technical maturity to achieve share growth. In July, we announced that Woodward was selected to provide rotary actuation solutions for the NASA and Boeing Transonic Truss Braced Wing X-66A demonstrator. In addition, we were selected to provide the trim control panel for Jet Zero's blended wing body demonstrator.
Dan Provaznik: Last year, we completed a significant construction project
Chip Blankenship: at our Stuttgart Engineering Center to conduct hydrogen fuel cell component testing as part of our investment to design and deliver components for the Airbus ZeroE demonstrator. This work has potential for applications in both aerospace and industrial end markets. All of these accomplishments position Woodward to be competitive for decades and to deliver long-term shareholder value. Moving to our markets, in aerospace, strong commercial passenger traffic continues. While market demand remains strong, industry supply chain challenges persist, impacting build rates and creating further operational uncertainty in 2025. Our direct sales to Boeing have been negatively impacted by the work stoppage, and we responded by temporarily shutting down related production lines and redeploying resources to other areas. We are working closely with Boeing and remain poised to meet their future demand signals. Engine manufacturers are continuing to pull at a steady rate, and conversations have indicated no changes in the near term. This is reflected in our 2025 guidance that Bill will speak to later. Aerospace aftermarket activity remains healthy due to high utilization rates on legacy aircraft and engines, resulting in higher shop visit rates for longer, and due to delays in new aircraft deliveries, heavier work scopes have been implemented for each of the relevant legacy engines. In defense, geopolitical developments continue to drive demand for defense products. Suppliers are actively scaling operations, and we remain well-positioned to capture these growth opportunities. We are expecting strong growth across our defense portfolio in 2025, including a significant increase in smart defense production and additional order activity, which will more than satisfy the remaining open lots. The current lots are at legacy pricing levels, and Woodward will continue to experience compressed margins due to supplier price increases. For future lots, we have substantiated our increased costs and anticipate improved margins from new pricing in late 2025 or early 2026, depending on delivery rates. Turning to industrial, global demand for power generation remains robust. Investment in gas-fired power generation is increasing for both primary and backup power to enhance grid stability and support the expansion of renewable energy. Additionally, demand for data center power is forecast to grow sharply, driven by increasing AI and other computing demands. Woodward is well-positioned to capture this opportunity, which includes control, actuation, and fuel metering systems for both baseload natural gas and backup diesel applications. In transportation, the global marine market remains healthy. Elevated ship build rates support strong OEM engine demand and future aftermarket opportunities. In the meantime, high utilization rates are driving current aftermarket connectivity. Demand for alternative fuels across the marine industry continues to grow, which validates our R&D investments as multi-fuel engines feature higher Woodward content, and we are currently enjoying a return on these investments, with new engine and service kits currently in production. Demand for heavy-duty trucks in China declined in the fourth quarter, as production remains at low levels due to local economic challenges. In 2024, Woodward saw a material decline in sales from the first half to the second half of the year due to elevated inventory levels at our customers. Since we last communicated, we now believe deteriorating local economic health and narrowing fuel price spread will negatively impact our China on-highway sales more than previously thought. As we have communicated in the past, demand is particularly volatile for this product line, and we have limited visibility into future orders. Bill will discuss more about Woodward's outlook for China on-highway in his section. In oil and gas, efficiency improvements and low commodity prices are impacting positive sentiment in the space, driven by continued investment in refining and petrochemical activities in China, the Middle East, and India. In summary, we are pleased with our 2024 performance and the progress we have made on innovation, stabilizing supply chains, enhancing operations, and positioning ourselves for sustainable growth. Both our strategy and execution are driving meaningful results. We expect solid momentum well into 2025 and beyond. I want to thank all Woodward members for their hard work, dedication, and commitment to delivering value to our customers. As we look to 2025, we remain focused on profitable growth, operational excellence, and innovation. This is how we will maximize shareholder value. And now I will turn it over to Bill, who will share more detail around our 2024 financial performance and 2025 guidance. Bill?
Bill Lacey: Thank you, Chip, and good afternoon, everyone. As a reminder, all references to years are references to the company's fiscal year unless otherwise stated, and all comparisons are year-over-year unless otherwise stated. Net sales for the fourth quarter of 2024 were $855 million, an increase of 10%. Net sales for 2024 were $3.32 billion, an increase of 14%. Total Woodward sales for both the fourth quarter and full year 2024 were the highest on record. Earnings per share for the fourth quarter of 2024 were $1.36, compared to $1.33. Adjusted earnings per share for the fourth quarter of 2024 were $1.41. There were no adjustments to earnings in the prior year quarter. For 2024, earnings per share and adjusted earnings per share were $6.01 and $6.11, respectively, compared to earnings per share and adjusted earnings per share of $3.78 and $4.21, respectively. Aerospace segment sales for the fourth quarter of 2024 were $553 million, compared to $455 million, an increase of 22%. Commercial OEM and aftermarket sales were up 16% and 22%, respectively. Defense OEM sales were up 40%, and defense aftermarket sales were up 7%. Aerospace segment earnings for the fourth quarter of 2024 were $106 million, or 19.2% of segment sales, compared to $78 million, or 17.2% of segment sales. The increase in segment earnings was primarily a result of price realization and higher volume, partially offset by inflation. For 2024, aerospace segment sales were $2.03 billion, compared to $1.77 billion for the prior year, an increase of 15%. Aerospace segment earnings for 2024 were $385 million, or 19% of segment sales, compared to $290 million, or 16.4% of segment sales for the prior year. Turning to industrial, industrial segment sales for the fourth quarter of 2024 were $302 million, compared to $322 million, a decrease of 6%. Transportation was down 19%, primarily due to a decline in China on-highway sales, which we had anticipated. Power generation was up 4%, and oil and gas were up 12%. China on-highway sales were $22 million in the fourth quarter, including revenue associated with the reversal of an unearned volume rebate. As Chip mentioned, we expect continued pressure on China on-highway sales due to the deteriorating local economy and the narrowing natural gas to diesel spread. We believe these conditions have prolonged the destocking efforts of our customers. While full-year China on-highway sales were approximately 70% higher than the prior year, the fourth quarter was lower than the same period in 2023. These fluctuations that we saw in 2024 clearly demonstrate both the volatility and limited visibility in this business. We now expect China on-highway sales in 2025 to be approximately $40 million. We anticipate first-quarter sales to be approximately $5 million. As a reminder, quarterly sales below approximately $15 million will result in negative margin for this business. Industrial segment earnings for the fourth quarter of 2024 were $38 million, or 12.6% of segment sales, compared to $54 million, or 16.9% of segment sales. Industrial earnings for the quarter decreased primarily due to lower China on-highway volume and unfavorable mix, which was partially offset by price realization. Margins for our core industrial business, which is our industrial business other than China on-highway, were approximately 12% in the fourth quarter, which is lower than the approximate 14% run rate we achieved in recent quarters.
Bill Lacey: The sequential decrease was due mainly to unfavorable mix, including a temporary shift of production capacity to satisfy OEM customer requirements. Due to the rebate reversal I previously mentioned, China on-highway margins were accretive for the quarter. For 2024, industrial segment sales were a record $1.3 billion, compared to $1.15 billion for the prior year, an increase of 13%. Industrial segment earnings for 2024 were $230 million, or 17.7% of segment sales, compared to $162 million, or 14.1% of segment sales for the prior year, with core industrial margins showing approximately 200 basis points of improvement year-over-year. Non-segment expenses were $31 million for the fourth quarter of 2024, compared to $24 million. Adjusted non-segment expenses were $27 million in the fourth quarter. There were no adjustments to non-segment expenses in the prior year period. Non-segment expenses were $120 million in 2024, compared to $131 million. Adjusted non-segment expenses were $112 million in 2024, compared to $96 million. At the Woodward level, R&D for the fourth quarter of 2024 was $35 million, or 4.1% of sales, compared to $32 million, or 4.1% of sales. For 2024, R&D costs were $141 million, or 4.2% of sales, compared to $132 million, or 4.5% of sales. SG&A for the fourth quarter of 2024 was $78 million, or 9.1% of sales, compared to $66 million, or 8.5% of sales. In 2024, SG&A was $307 million, or 9.3% of sales, compared to $270 million, or 9.3% of sales. The effective tax rate was 18% for the fourth quarter of 2024, compared to 15.7%. The adjusted effective tax rate for the fourth quarter was 18.4%. There were no adjustments to the effective tax rate in the prior year period. The full-year effective tax rate was 17.8% for 2024, compared to 15.7%. For 2024, the adjusted effective tax rate was 18%, compared to 16.8%. Looking at cash flows, net cash provided by operating activities for 2024 was $139 million, compared to $309 million. Capital expenditures were $96 million for 2024, compared to $77 million. Free cash flow was $343 million for 2024, compared to $232 million. Adjusted free cash flow for 2024 was $348 million, compared to $238 million. The increase in free cash flow and adjusted free cash flow was primarily due to increased earnings and improved working capital, partially offset by higher capital expenditures. As of September 30, 2024, debt leverage was 1.4 times EBITDA. During fiscal 2024, we returned $449 million to stockholders, comprised of $58 million of dividends and $391 million of share repurchases. This includes $15 million of dividends and $86 million of share repurchases in the fourth quarter. Turning to our 2025 guidance, total net sales for 2025 are expected to be between $3.3 and $3.5 billion. Aerospace sales growth is expected to be 6% to 13%, and segment earnings are expected to be 20% to 21% of sales. We expect total industrial sales to decline 7% to 11%, with segment earnings to be 13% to 14% of segment sales. Core industrial sales are expected to grow 3% to 7%, with earnings at 14% to 15% of core sales. Due to the dynamics we expect in our industrial segment in fiscal 2025, I want to walk you through two bridges that take you from 2024 results to the midpoint of our 2025 sales and earnings per share guidance. These bridges are on slide 18 of our presentation materials. At the midpoint of our guide, aerospace sales are expected to grow $196 million, or 9.7%. Core industrial sales are expected to grow $54 million, or 5%. We expect this sales growth to translate into an additional $1.14 of earnings per share. However, we expect this growth to be offset by a significant decline in China on-highway sales. Our 2025 guidance includes only $40 million of China on-highway sales, which would be a decline of $175 million and a $1.15 reduction in earnings per share. At the Woodward level, the effective tax rate is expected to be approximately 20%. We expect free cash flow to be between $350 and $400 million. Capital expenditures are expected to be approximately $115 million. The investment in capex represents a capital allocation decision to invest in high-return projects, including automation in manufacturing, assembly, and test, that has the added benefit of enabling future growth. Earnings per share is expected to be between $5.75 and $6.25, based on approximately 61.5 million fully diluted weighted average shares outstanding. Some additional items to help you with your modeling: we expect year-over-year price realization at approximately 5%. Non-segment expenses should be about 3.3% of sales. This concludes our comments on the business data results for the fourth quarter and fiscal year 2024. Now we would like to turn the call back to Chip for some closing comments.
Chip Blankenship: Thanks, Bill. We enter 2025 with strong momentum. Overall, we are well-positioned to capitalize on the robust demand. As Bill just mentioned, our aerospace segment is forecast to grow and expand margins, and our core industrial is forecast to do the same. The only significant decline we see is China on-highway, and it may come back in the second half. We shall see. We are on track to deliver the 2026 targets that we provided at our Investor Day last year. Operator, we are now ready to open the call to questions.
Operator: Thank you. The question and answer session will begin at this time. If you are using a speakerphone, please pick up the handset before pressing any numbers. Should you have a question, please press star one on your push-button phone. Your questions will be taken in the order they are received. Please stand by for your first question, sir. Your first question comes from the line of Scott Mikus with Melius Research. Please go ahead.
Scott Mikus: Good evening. Hello, Scott? Chip, I wanted to ask, part of the investment thesis for Woodward is the chipset content gains on the LEAP and GTF relative to the predecessor programs. But Woodward does not have content on the CFM56-7B, which powers the 737 NG. Is there any reason why you could not provide a PMA offering for that engine? Even though you are typically not a PMA provider, that way you could boost your aftermarket growth.
Chip Blankenship: So we agree with you that the investment thesis is the growth in content that we have on the LEAP and GTF and the 737 MAX and A320neo. And we are really focused on serving the content and customers that we have on the V2500 and the CFM56 and getting ready for that growth on the LEAP and GTF. You know, we are not historically a PMA supplier. We do not want to be a PMA supplier. But even if we did, investment in that at this juncture of the remaining life of those engines probably is not the best use of capital. We would not prioritize that amongst the other options that we have for pursuing new product introduction.
Scott Mikus: Okay. That makes sense. And then I have a question for Bill. You had the defense OEM growth. It was really strong in the quarter. How much of that was driven by JDAMs? Because Boeing received a $7.5 billion order for JDAM tail kits in May. So I am wondering if that drove the growth in the quarter. And then how are you expecting the growth for guided munitions throughout fiscal 2025?
Bill Lacey: Sure, Scott. JDAM was part of the growth that we saw in Q4 for our defense OEM, but we also saw growth across the other products in the smart defense portfolio. They all contributed. We expect for those products to continue to provide growth throughout 2025 as well.
Scott Mikus: Alright. Thanks for taking the questions, and have a good Thanksgiving.
Chip Blankenship: You are welcome. You too.
Operator: Your next question comes from the line of Matt Akers with Fargo. Please go ahead.
Matt Akers: Yeah. Hey, guys. Good afternoon. Thanks for the question. Yeah. I wonder, I may have missed it, but you said you paused production a little bit for Boeing during the quarter. Could you just, I guess, confirm if you restarted and kind of what rates you are at now and sort of related to that, what are kind of the puts and takes in terms of the aerospace guidance range? What, you know, what production rates would get you the higher or the low end there?
Chip Blankenship: So I would separate the engine content that we have from the more airframe-related content that goes direct to Boeing. So the direct-to-Boeing ship set content is the only thing that we paused. And we are really waiting to hear from confirmation from Boeing about what their anticipated restart rate targets are going to be. So we have not restarted yet, but, you know, there is quite a bit of inventory in the system, so it is not an urgent matter to get that line restarted. We will be ready to go when Boeing tells us what initial rates they see and what break steps they see. We have some preliminary information, and, of course, we are talking back and forth, but have not received a firm indication. So, again, it is not an urgent matter to restart. As far as the guidance goes, you know, the midpoint of our guidance kind of assumes in the middle of calendar 2025 that Boeing gets to the rates that, you know, they were previously talking about achieving before the work stoppage. So we do not have a, are not ready to divulge an exact number to that, but, you know, as far as calendar 2025 goes, we are thinking the previously announced rates that Boeing forecast, you know, somewhat something short of that. But we are very much prepared to achieve whatever rates they are able to pull at.
Matt Akers: Great. Thanks. That is helpful. And then I guess one more just on kind of the balance sheet and capital deployment. Just kind of what your priorities are there and if there is a target leverage ratio that you want to stay at.
Bill Lacey: Yeah, Matt. As we talked about our capital allocation strategy, it is to be disciplined and balanced. And to support our strategy and to support high-return projects. We are focused on making sure that we offset our fee dilution in our share count. We will also focus on great operational excellence projects. We have had great success in investing in our operations. We are excited about automation, and that is one area that you will see us invest in. And then from an M&A activity, we stay very active and have a very active pipeline. We are very focused, though, on making sure we stay on strategy, and we will keep our options open. We like having that debt leverage around one to one and a half percent. That gives us the flexibility to go after M&A activities if we see something that is right.
Chip Blankenship: Yeah. I would also point out that, you know, we returned $449 million to shareholders last fiscal year, and we still have an open buyback program that we are ready to execute on. And as Bill said, stay disciplined with all of these options in front of us.
Matt Akers: Great. Thank you both.
Bill Lacey: Welcome.
Operator: Your next question comes from the line of Gavin Parsons with UBS. Please go ahead.
Gavin Parsons: Hey. Thanks, guys. Good evening.
Chip Blankenship: Afternoon. Hey, Gavin. Just to follow-up on Matt's first question there. Sounds like a pretty prudent assumption on the kind of Boeing build rates, but I think 6% to 13% is still wider than you would usually guide. So would you say there is a good element of conservatism in that range aside from the Boeing rates as well? Of things going on in the industry, as I said about 2024 with the supply chain challenges across the board. It is not just limited to Boeing. So we have taken a wide range. The biggest wildcard is Boeing's rate that they achieve and pull at. But on the smart defense side and on the Airbus supply chain, there could be some ability for upward mobility, but there could also be some ability to have some headwinds associated with the supply chain kind of across the board. But as you pointed out, Boeing being the biggest wildcard. And it is a wider range than we usually give, but we are trying to make sure that we have taken into account those things that we see as possibilities.
Gavin Parsons: That is great. And I think that makes sense.
Chip Blankenship: And then on the core industrial margin, just what was that for full-year fiscal 2024? And how much visibility do you have going into, you know, fiscal 2025 given the 14% to 15% you know, implies a good size step up from where you just exited in 4Q.
Bill Lacey: Thanks. Yeah. So again, we for 2024, we exited the year at 14.1%. And for full-year 2025, we are seeing 14% to 15%. In Q4, again, we saw the mix that caused core industrial to be down. We do not expect that to repeat. And so we have good line of sight to delivering the 14% to 15% in 2025 for our core industrial business.
Gavin Parsons: Appreciate it.
Chip Blankenship: Welcome.
Operator: Your next question comes from the line of Louis Raffetto with Wolfe Research. Please go ahead.
Louis Raffetto: Yeah. Thank you. Maybe just to build a follow-up, and I want to make sure I understood. I think you said China actually has $22 million in sales. So I think at that level, it would be accretive. And then you also had this rebate, which you said was accretive margins. And so I am still trying to reconcile that with the old 6%. Was that all the negative mix?
Bill Lacey: Yeah. So first, a couple of things to first point out. At $15 million, China on-highway business is breakeven. Back in August when we had our web call, we also mentioned that at $25 million, China on-highway is neither accretive nor dilutive to the industrial core industrial margins. At $22 million that we delivered, there was this rebate reversal that we performed that was full price and went straight to the bottom line. So that is what caused the China on-highway to go from not dilutive or accretive to actually being accretive. And then Louis, I think I missed the second part of your question. And so, basically, I guess that means the core business had lower margins and that was just that mix that you talked about?
Louis Raffetto: That is correct. The 200 basis points, we expect core industrial to deliver around 14%. That is what we saw in the previous quarters. That is what the total year ended up. And that 200 basis points was truly related to a shifting production from aftermarket to OEM to burn down past dues, and that is what caused the mix issue in the fourth quarter.
Chip Blankenship: Yeah. It was a customer emergency that we wanted to respond to and serve that customer because our inability to serve them earlier due to a raw material gap led to that situation. So it is a very clear understanding we have when we pulled that lever to serve that customer. We had to do it at the expense of our higher margin aftermarket channels, and we do not anticipate that same problem in 2025.
Louis Raffetto: Great. Appreciate that. And maybe, Chip, just for you, you talked about the sort of the strength you are seeing in PowerGen, sort of AI, and also within marine. But I guess as we look at those sort of businesses, you know, PowerGen went from plus 20 in the first quarter to plus 4 in the fourth quarter. You know, how do we really think about that? I mean, is it going to reaccelerate? And then same thing for transportation. It went from, you know, excluding China on-highway, it went from, I think, again, plus 12 to maybe up just a little bit in the fourth quarter?
Chip Blankenship: Yeah. The quarter-to-quarter, I would not get too excited about that segment of time and measuring that. We serve customers in both oil and gas and power gen channels with similar equipment. And, you know, it is going to be a little bit of ebb and flow in a quarter, but if you think about the fourth quarter snapshot, and then you look at the whole year of 2024, you will see that our power gen is up double digits. And when we look at our order book and our customer excitement level, if you will, and the projects that we know about, we see in 2025, you know, some low double-digit growth in PowerGen. And then maybe oil and gas is flattish. And then marine up maybe mid-single digits. So we feel like that is what we see in 2025 based on some fairly high comps from the year before also.
Louis Raffetto: I appreciate it. Maybe, Bill, just one more follow-up. The divested business or the is it how is that being accounted for in the guidance? Is it in there until you get rid of it and then you will account for it? Or is it taken out already?
Bill Lacey: Yes, Louis, we have factored it in. It is a small part of our industrial business, and that is factored into the guidance that we provided you.
Louis Raffetto: Thank you.
Bill Lacey: Welcome.
Operator: Our next question comes from the line of David Strauss with Barclays. Please go ahead.
Josh Corn: Hi. Good afternoon. Thanks for taking the question. This is Josh Corn on for David. So I wanted to ask, how much is LEAP aftermarket contributing today? And how do you expect that to grow, and when do you expect it to become meaningful? Thanks.
Chip Blankenship: Sure. So earlier in the year, one of our earlier calls, I said that we were starting to have some pretty good year-over-year LEAP and GTF aftermarket. And, again, off of a small base, it almost doubled year-over-year from 2023 to 2024. But again, that is off of a small base and is not really moving the needle all that much from a total aerospace commercial aftermarket standpoint for us. As we said in our Investor Day, sort of, you know, the latter 2027, early 2028, we think with our models that LEAP and GTF will be, you know, rivaling the legacy engine lines in terms of aftermarket. There are a few wildcards to that, like Boeing's production rates growing in the installed base like we want to and like we know there is demand for. And also the GTF aircraft on ground, the fact that we are not accumulating as many cycles per year as was in the original model. Some of these things can impact whether it is late 2027 or into 2028 when that happens, but we are kind of sticking by that timeline forecast for now.
Josh Corn: Okay. Thanks. And then the 2026 targets that you laid out for EPS, free cash flow, and the segment, have any of the underlying assumptions there still changed, or are those all still valid?
Chip Blankenship: Still intact. We like our progress so far, and we see the ability to close in and deliver those. You know, one of the nice things about you said, when does LEAP and GTF really come into play? This higher shop visit rate for longer that we are seeing on the legacy CFM56-5 and V2500 is really, you know, helping with a strong foundation and a bridge when that takes over. So that is good from a 2026 performance standpoint.
Josh Corn: Great. Thank you.
Chip Blankenship: Welcome.
Bill Lacey: Thanks, Josh.
Operator: Our next question comes from the line of Gautam Khanna with TD Cowen. Please go ahead.
Gautam Khanna: Hey. Good afternoon, guys.
Chip Blankenship: Afternoon, Gautam.
Bill Lacey: I have a couple of questions. I was wondering, and perhaps you already mentioned this, but if you could lay out your expectations for aerospace growth by the four markets that you report. Maybe just in terms of which is highest, which will be lowest, you know, depends on OEM, depends on customer, I think, commercial, or commercial. Yeah.
Chip Blankenship: Yeah. I think the easiest way to summarize that is that we think the military OE would probably be the strongest that we see in 2025, growth year-over-year. And then Boeing is a wildcard, but if they do near what they have said they are going to get back to in 2025, then commercial OE could be the next up in terms of from a growth standpoint. You know, commercial aftermarket is off of a very strong comp. We still see some growth available there, but very strong comp year-over-year opportunity there is to grow share. And we are working on our operational excellence to provide that capacity and the turnaround times that our customers are expecting to earn more business there. So we do not forecast that being up a lot next year, but we are laying the groundwork to keep growing that in the out years.
Gautam Khanna: That is helpful context. And, you know, last quarter, you mentioned prior to the strike at Boeing some inventory build of certain products in Aero. Was that just related to the Boeing side or is that also on the engine side? If you could just characterize what you think the channel inventory is of Woodward's engine products are relative to kind of underlying consumption right now.
Chip Blankenship: My comments last quarter were both towards the airframe content and the engine content. We are talking to our customers all the time. And right now, what is being relayed to us is a willingness to invest in inventory to allow the rate restart and rate increase that Boeing believes they are capable of. And Airbus is pushing like crazy on the supply chain to help them get to rate 75 eventually. So as long as the players are willing to keep investing in inventory, we have got the capacity to keep satisfying them.
Gautam Khanna: That is great. And then just lastly, pricing. What are your products and patience for pricing in fiscal 2025? And if you could give it to us by segment, that would be helpful. But any color. Thank you.
Chip Blankenship: I am sorry. Could you repeat that? I was not sure about some of the words. Oh, sorry.
Gautam Khanna: I apologize. Yeah. Just pricing expectations in 2025. Perhaps by segment, if you can give that.
Bill Lacey: Yeah. So we are seeing in 2025 around 5% price realization. And, you know, that is after delivering 6% in 2023 and 7% in 2024. In terms of aero and industrial, we expect both those segments to contribute to that approximately 5%. Aero might be slightly stronger than the pricing we see in industrial.
Gautam Khanna: Thanks, guys. Appreciate it.
Chip Blankenship: Welcome.
Operator: Our next question comes from the line of Michael Turmoli with Truist Securities. Please go ahead.
Michael Turmoli: Hey. Good evening, guys. Thanks for taking the questions. Maybe just to stay on Gautam's line of question there. You know, if we think about pricing in aerospace, I think you called out some of the newer pricing lots, but potentially hitting, you know, maybe outside this fiscal year, is there can you call out any distinction between commercial aero pricing and kind of defense pricing?
Bill Lacey: You know, Michael, I think we are, again, it is about 5%. We expect aerospace to be a little stronger. I would say that we had some LTSAs that were fixed price that are just now coming up for negotiation. So there will be some of that that we deal with in Aero. Also, the carryover related to those contracts that we negotiated within 2024 will have some carryover. And so that will be the sort of what is driving the price realization in the aerospace business.
Michael Turmoli: Got it. Got it. And then just maybe back to the guidance assumptions for 2025. Given that you have got some of your Boeing production still shut down, the kind of ongoing strike disruptions. How should we think about maybe the quarterly cadence? You know, obviously, the strike hit, you know, the bulk of this fourth quarter. Should we think about, you know, Aero being a little bit weaker this quarter and maybe more of an impact on margins or any distinction you could provide there?
Chip Blankenship: I think it is fair to say the first quarter looks a little bit softer than the rest of the year for Aero and industrial, fewer working days and OEMs managing their inventories at their year-end compared to ours. So we usually see the first quarter a little bit seasonally softer. Also, on a price perspective, the commercial aero contracts that experienced escalation in the start of the calendar year, all these things lead to a little bit softer 1Q for us. I do not know, Bill, if you want to add anything more on it.
Bill Lacey: Chip, I think you covered it, and that is what we typically see if you look back is Q1 is usually down a bit, and then we will see on the back of price and some of the other areas of volume growth throughout the rest of the year.
Michael Turmoli: Got it. I will leave it there. Thanks, guys.
Chip Blankenship: Thank you.
Operator: Your next question comes from the line of Sheila Kahyaoglu with Jefferies. Please go ahead.
Sheila Kahyaoglu: Thank you, guys, so much. My first question was on aerospace. Any thoughts on the guidance for aftermarket after up 17% in 2024? How do you think about it in 2025? And what keeps volume incrementals the same in fiscal 2024 versus 2025 when OE is outperforming?
Chip Blankenship: Taking the first part first here, Sheila. I think it is fair to say that after a couple of years of strong double-digit growth in commercial aftermarket, we are not really thinking that that will continue again this coming year. The narrow-body engine overhaul shops are just about full, a little bit more capacity at one or two players coming online. But for the most part, we see that sort of as a leveling off at a very nice plateau. Some opportunity for a little bit of price in that realm. So a little bit more volume and a little bit more price is what we are looking at for 2025 in the commercial aftermarket. And then in defense aftermarket, as we can open up more capacity and get a little bit of share there, we are definitely going after that.
Bill Lacey: Sheila, on the incrementals, what will drive that in 2025 is the price. And you are correct to point out that OE will be a lower mix than aftermarket. But the volume leverage that we are going to get, we are resourced for higher volume, and so we will not need to add much cost in that. Will provide us some leverage flowing through, and that is what is driving Aero's incremental, up above that 30%.
Sheila Kahyaoglu: Okay. And then maybe one more on Aero top line, then another question. So with defense, flattish in the first three quarters, but then up 40%, what drove that uptick? And how do you think about that? It is obviously a growth driver in fiscal 2025, but how strong of a growth driver is it, and what should we be looking at?
Bill Lacey: Yeah. In the, I will speak briefly on the fourth quarter there. That was really related to some supply chain challenges overcoming those, as well as demand in our smart defense business across all of the products in our smart defense. So that is what really drove the sequential growth in military in defense OEM. And we expect that same behavior in 2025. You know, we will have to see how things are pulled. And our supply chains have to ramp up, but we do expect to see good demand across our smart defense portfolio.
Chip Blankenship: We see the demand, Sheila, just to build on that for a moment, Bill. We see that demand for smart defense well into 2025 and beyond. The challenge is not always just our supply chain, though. Our customers are sequencing their pull from us based on what they can achieve with the rest of their suppliers as well. So that is one variable that might create some ups and downs sequentially across quarters, but the demand for growth is there, like we experienced in the fourth quarter.
Sheila Kahyaoglu: Got it. And just one last question, if you do not mind, strategy. You divested a gas turbine business last week, actually. I guess I thought anything aligned to IGT you would keep. So why would it be margin dilutive? And can you walk us through, you know, the thought process behind that asset sale?
Chip Blankenship: Sure, Sheila. That asset was an acquisition and primarily fabricating, build-to-print, combustion components for just about 100% of sales to GE Vernova. And as you look at what makes a really strong business model, it usually involves intellectual property and access to the service stream and the aftermarket. And really, our customer wanted to control that aftermarket, which we do not blame them for. It is their design, their intellectual property. We have some really great members there and some good manufacturing know-how, but it really was not enough to carry the day from a customer value standpoint to earn a return on. And so as we talked with our customer, GE Vernova, over quite a period of time about options and what to do, having it become part of their internal make supply chain was the best idea for both parties.
Sheila Kahyaoglu: Got it. Thank you.
Chip Blankenship: Welcome.
Operator: Your next question comes from the line of Noah Poponak with Goldman Sachs. Please go ahead.
Noah Poponak: Hey, guys.
Chip Blankenship: Afternoon, Noah. Hey, Noah.
Noah Poponak: Good afternoon. Hey, Chip. I wanted to see if you could help me better understand the aerospace aftermarket assumption you are making for next year. It sounds like the guidance assumes basically aerospace aftermarket units are up 1% or 2% and prices up 1% or 2%. I guess I would be kind of very surprised by both of those. I mean, on the pricing side, all of your peers are saying that yes, its rate of growth is decelerating as inflation decelerates, but that the market is so tight that pricing is still better than historical averages, you know, which sounds like mid to high single digits. And then on the unit side, I understand that the compares are tough, but total global air travel is still growing high single digits. A lot of the wide-body has not come back yet. You have acknowledged on this call here that a lot of the legacy stuff is flying longer. And you have got the LEAP in the GTF. I know it is small, but it is getting larger, and it is growing a lot. So all of that sounds like something much better than 1% to 2% on both the unit and price. What am I missing?
Chip Blankenship: Well, so those are kind of your assumptions on 1% to 2%. We are not ready to come out with such specific guidance on a segment of our segment. But I would say that you are absolutely right about all those positive indicators. The challenge on saying that the legacy narrow-body fleet is going to experience a lot more shop visits year-over-year is that the MRO capacity just is not there to deliver that. With GTF taking up a whole bunch of capacity that could have been utilized for the legacy. The fact of the matter is there are just not a lot more stands and not a lot more slots to get engines in. Some of our customers are experiencing heavier work scopes, so they are going to see more dollars per shop visit, if you will, so that is an answer for some of the suppliers and for some of our customers. But for us, whether an LRU comes in for an overhaul or not, there is not as much variation in scope. We do have an active V2500 upgrade that we have been selling quite well into the fleet. So if the uptake of that is a little bit more due to airlines intending to fly the units longer, we might enjoy some additional upside from that upgrade. So there are a few more positive notes. I just do not want to set your expectations so high that next year is going to be just like it was last year because there are some physics of capacity involved that will naturally meter that.
Noah Poponak: Okay. I had interpreted your commentary or triangulated all the qualitative commentary to mean that you were guiding aerospace aftermarket up low single digits for 2025. Is that not correct?
Chip Blankenship: We are not guiding at low single digits. We are not guiding to was just trying to do on a relative basis. I think our military OE is probably up the most. Then commercial OE as long as Boeing can get traction. And then after that, commercial aftermarket driven by a combination of price and a little bit of volume.
Noah Poponak: Okay. Fair enough. I appreciate the extra detail there. I guess on the aerospace margin, the incremental in the quarter was, I think, the lowest of the year. Does defense OE being as strong as it was, is that a mix headwind? And then, I guess, how disruptive is turning offline so you are selling it to Boeing? To your margin.
Bill Lacey: Yeah. To your first question, Noah, you are exactly right. Again, we look for incrementals around 30% per Aero. And the incremental fourth quarter was 28%. So good from sort of the benchmark is lower than what we have seen in the previous quarters, and it is driven by the fact that much of the growth in Q4 was related to defense OEM.
Noah Poponak: Okay. And I guess is the Boeing turn off that have a lot of disruption to the margin, or you are just able to overcome that?
Chip Blankenship: We are able to overcome that. It is not a big impact as long as we get back up and running here soon. We have redeployed those resources to both other aerospace lines as well as industrial lines here in Fort Collins, and then we also have taken the opportunity to pull forward some Kaizen and rearrangement work that we were planning to do over a shutdown. So we have kind of resequenced some things, and I think we are able to digest it pretty well.
Noah Poponak: Okay. Great. And then last one I had, even if without being specific, just generally speaking, are you still evaluating other possible asset sales from your portfolio, or is the one we just saw all you are likely to do in the medium term?
Chip Blankenship: So we have before this, we have already done some dispositions and sales of some very, very small product lines. And, you know, that have not involved facilities or things like that. So we are active in that, Noah, just trying to make sure we are the best stewards of the shareholders' investment and with an eye on their returns. And we will continue to sort of use product management discipline to continuously evaluate the portfolio.
Noah Poponak: Got it. Okay. Thank you.
Chip Blankenship: Welcome.
Operator: Mr. Blankenship, there are no further questions at this time. We will now turn the conference back to you.
Chip Blankenship: All right. I would like to thank everyone for joining the call. You have a happy Thanksgiving.
Operator: Ladies and gentlemen, that concludes our conference call today. A rebroadcast will be available at the company's website, www.woodward.com, for one year. We thank you for your participation on today's conference call and ask that you please disconnect your lines.